Operator: Good day and welcome to Summit Materials Third Quarter 2022 Earnings Conference Call. Please note, today’s conference is being recorded. [Operator Instructions] Thank you. At this time, I would like to turn the conference over to Karli Anderson, Executive Vice President of ESG and IR.
Karli Anderson: Hello and welcome to Summit Materials third quarter 2022 results conference call. Yesterday afternoon, we issued a press release detailing our financial and operating results. Today’s call is accompanied by an investor presentation and a supplemental workbook highlighting key financial and operating data. All of these materials can be found on our Investor Relations website. Management’s commentary and responses to questions on today’s call may include forward-looking statements which, by their nature, are uncertain and outside of Summit Materials’ control. Although these forward-looking statements are based on management’s current expectations and beliefs, actual results may differ in a material way. For a discussion of some of the factors that could cause actual results to differ, please see the Risk Factors section of Summit Materials’ latest annual report on Form 10-K, which is filed with the SEC. You can find reconciliations of the historical non-GAAP financial measures discussed in today’s call in our press release. We will begin today’s presentation with a business update from Summit’s CEO, Anne Noonan. Brian Harris, our CFO, will then review our financial performance and will conclude prepared remarks with our view on the path ahead. After that, we will open the line for questions. [Operator Instructions] With that, I will turn the call over to Anne.
Anne Noonan: Thank you, Karli and good morning to everyone joining today’s call. Keeping with our promise to put safety first, I’d like to start with an update on our safety trends. Through September, we are tracking ahead of both internal expectations and prior year for virtually all of our key safety performance indicators. Our recordable incident rate, for example, is 45% better than 2021 levels. A critical catalyst for our improvements is a greater emphasis on leading indicators that help to prevent safety incidents before they happen. Led by our safety leadership teams, some of employees around the country have truly embraced our safety first culture as we continue our journey towards being a zero harm organization. Turning to Slide 4 for a review of our quarterly performance you will see that we delivered solid third quarter results as evidenced by a number of records that included record net revenue and adjusted diluted earnings per share as well as the strongest year-on-year organic pricing growth for aggregates, cement and ready-mix in company history. Our Summit teams continue to execute the Elevate strategy and are rising to meet the challenges of a very dynamic operating environment. If you were to exclude the impacts of divestitures in percentage terms, third quarter net revenue was up mid-teens and adjusted EBITDA increased mid-single digits versus the comparable prior year quarter. These results reflect another quarter of successful strategic execution and emblematic of an organization that’s transforming to tackle the opportunities that lie ahead, particularly in light of the challenging macroeconomic backdrop, it’s fair to say that the third quarter was affected by a variety of cross currents. On the positive side, all lines of business exhibited double-digit pricing growth year-on-year. And perhaps more importantly, pricing for our aggregates and cement businesses accelerated nicely off run rate levels, driven in part by successful July 1 pricing actions, pricing accelerated 640 and 450 basis points relative to first half levels for aggregates and cement, respectively. In addition to the tremendous price realization, our Cement and Green America Recycling business is executing on their plan and driving profitable growth for Summit, a trend we anticipate extending into future quarters. Now in terms of third quarter headwinds, we have not seen supply chain constraints ease in any material way. As a result, we continue to encounter historic levels of input cost inflation. And while we have weathered certain cost headwinds, namely energy, better than some, our profitability and margin progress has been stunted by higher input costs. More specifically, we are still facing challenges sourcing capital equipment. And as a result we are having to absorb unexpected repair and maintenance costs as well as higher subcontracting and equipment costs. Limited driver availability as well as shortages of cement all have capped aggregates and ready-mix volume growth in the quarter. Those conditions taken together with wet weather particularly related to the preparation for and impact of Hurricane Ian explains why our volume growth was slightly softer than expected. Despite these industry challenges, I am very proud of the resiliency of our teams displayed as we navigated through uncertain terrain. On Slide 5, we cover segment results where growth was led by our West segment and our Cement business. West net revenues were up 16.6% driven by robust pricing across all lines of business and all markets. Notably, after lagging in the first half, pricing in Texas inflected significantly in Q3 with double-digit pricing gains in all lines of business. Similarly, aggregates pricing in Utah accelerated in Q3 and was up 10% versus Q3 of 2021. Volumes for aggregates and ready-mix, however, were held back as supply chain headwinds, I mentioned a moment ago, affected several of our markets. However, in Utah, we recognized healthy aggregates growth in Q3 and while ready-mix volumes were relatively flat year-on-year. West adjusted EBITDA grew 6.5%, fueled by strong and broad pricing growth that more than offset volume and inflationary headwinds. In the East segment, reported results reflected the impact of divestitures. Therefore, let’s focus on organic price and volumes. Organic aggregates pricing increased 8.2% led by the strongest growth in Virginia and the Carolinas, followed by mid-single-digit growth in Missouri. In Kansas, pricing differs by market with Kansas City commanding stronger pricing than more rural areas. Even so, adjusted EBITDA margins in Kansas are typically comparable to the segment average due to advantaged cost dynamics. In the downstream, pricing growth remained robust with 15% and 29.2% organic pricing growth versus the prior year in ready-mix and asphalt, respectively. Each segment’s adjusted EBITDA declined versus the prior year due primarily to divestitures. Excluding those impacts, lower adjusted EBITDA was due to a combination of higher repair and maintenance costs, elevated subcontractor costs and organic aggregate volume declines due to Hurricane Ian impact that were only partially offset by growth in Kansas City and Virginia. Finally, on Cement, strong and persistent demand conditions, combined with customer preference for material quality and reliability is driving continued momentum in our cement business. For the quarter, net revenue increased 29.6% to $119.9 million with strong and balanced growth from price and volume. Pricing growth of 12.8% is a high watermark for Summit and reflects a combination of inflation-justified pricing and sharp execution of commercial excellence principles. Third quarter cement volume of 841,000 tons is our highest sales volume in 5 years and represents 12.4% growth versus Q3 of 2021. This volume uptick was driven by 3 factors: First, PLC conversion unlocks additional capacity. Second, we had better asset utilization. Finally, we supplemented our production with some imports in order to satisfy robust customer demand. Cement adjusted EBITDA was up $6.2 million or 15.5% relative to the prior year, fueled by top line growth and greater contribution from Green America recycling. Before moving on, we did want to note two items that will have implications for our cement business. First, as you may have read, drought conditions from the plains to the Mississippi River Basin are resulting in historically low river levels and are impacting barge traffic along the Mississippi River. So far, our operations have not incurred significant disruptions, but we are not immune to these conditions. Although we are well positioned along the river relative to our competition, low river levels are slowing delivery times. To date, we’ve limited stock outs and are working proactively with customers to manage expectations. If, however, conditions do not improve, there is clearly risk to future quarters. And we have incorporated our latest view into our updated guidance. All that being said, our Continental Cement team has a tremendous amount of expertise as well as deep and durable relationships that are especially valuable when navigating through these uncertain conditions. The second cement item worth discussing is around the pricing letter we recently issued effective for January 1. If you recall, we said in August that we were going to exhaust favorable energy supply contracts on natural gas, pet coke and coal beginning in 2023. As we have locked in 2023 prices at higher rates, we need to share those higher costs with our value chain partners. As such, we have announced a $17 per ton price increase we will begin to place at the beginning of 2023. Our pricing actions are commensurate with the higher costs facing the business, and we believe they adequately represent the value we provide to market. Our January 1 move, as always, is grounded in our pricing principles which are to maintain a positive net of cost relationship, protect margin and price to what the market will bear. Given the strong supply-demand conditions, sound value pricing will be a critical lever in achieving our 40% or better adjusted EBITDA margin goal for our Cement business. Let’s now turn to Slide 6 for our Elevate Summit scorecard. We’ve achieved or we’ve have made significant progress on two of the three Elevate Summit financial targets. For net leverage, we set another record in Q3 at 2.3x net debt to adjusted EBITDA and are well below our 3x target, thereby preserving maximum optionality to invest in organic growth initiatives further strengthen the Summit portfolio via value-enhancing M&A and drive superior shareholder returns. Similarly on ROIC, we set an Elevate Summit high watermark of 9%, up 20 basis points from year-end and prior quarter. As we annualize our divestitures and rigorously analyze the return on each of our remaining assets, we will move towards and eventually beyond our 10% ROIC target. Progress on this front is especially critical in light of the higher cost of capital in this rising rate environment. Adjusted EBITDA margin on an LTM basis decreased 50 basis points sequentially to 21.9%. Our efforts on commercial and operational excellence initiatives are helping to stem the impacts of inflation, and our focus has been on protecting margins to the best of our ability, while growing EBITDA dollars in a sustainable way. Ultimately, closing the gap on our Elevate margin targets will occur in a material way when inflation headwinds abate, materials pricing endures and our self-help margin initiatives really take hold. And our journey to 30% will likely coincide with the progress against the three North Star objectives we introduced earlier this year. The first is to have Cement EBITDA margin sustainably above 40% on an LTM basis. The operative word is sustainably as we have proven in the past that we can achieve that level of profitability, but not as sustained as we’d like. The second North Star objective is to reach 50% adjusted cash gross profit margin on aggregates. We’ll get there by pairing commercial excellence and operational excellence initiatives. Through standardization, best practice sharing, a sharp focus on continuous improvement and together with value pricing, we have the self-help levers available to us to have considerable points of margin to our aggregates business over time. And finally, our third North Star objective embodies shifting the portfolio to being more materials-led. Going from 63% adjusted EBITDA generated from materials in 2020 to 69% in year-to-date 2022 and reflects the deliberate efforts to shed low-margin, low-growth downstream businesses while bolstering our aggregates and cement lines. By the end of Horizon 2, our portfolio will generate over 75% of its EBITDA from aggregates and cement, and we are bullish that our public market valuation should reflect the higher margin business we retain. All in, these 3 metrics are commitments that we’ve made and our guidepost you can use to track our progress. Slide 7 contains our Elevate Summit’s strategic road map with our four priorities layered on top of our foundational and enabling capabilities. Let me take a moment to review how we are advancing sustainability and innovation in a meaningful way and then highlight two recent portfolio moves that will make Summit even more materials led. On Slide 8, we detailed two noteworthy items that fortify Summit’s reputation as a leader in social responsibility and a trusted innovation partner. First, we have partnered with Minnesota DOT and the National Road Research Alliance project on an innovative research project to develop and test the lowest carbon cement option for future transportation infrastructure. Our Continental Cement team produced a 20% Portland-limestone cement, the lowest carbon PLC to date. As part of our research study to evaluate its performance characteristics to potentially provide the pathway to further reduce cement’s carbon footprint by producing a PLC of the future and the second item relevant to sustainability surround our environmental production declarations for our asphalt plants. In recent months, we’ve obtained EPDs for 6 of our plants, 3 in Texas, 2 in Colorado and 1 Arkansas asphalt plant, and we plan to have the rest of our permanent asphalt facilities in Texas completed by the end of the year. With Karli’s leadership and exceptional engagement throughout the Summit business, we are taking a leading role on social responsibility, a commitment we’ve made to our stakeholders and the communities we serve. Moving to Slide 9, where I am excited to share two recent portfolio moves that further tilts the mix towards higher-margin materials-led business. The first is the sale of an asphalt and paving business in the East segment, to a strong and capable local market partner. And consistent with our asset-light approach, we have entered into a long-term supply agreement with the buyer thereby permitting our aggregates and ready-mix volumes to grow in the Southeastern Kansas market. By selectively exiting downstream businesses for which there is a better owner, the lower resulting asset base can favorably enhance our ROIC and we retained higher quality businesses that are accretive to margins. This is the 11th no-regret divestiture as part of our Elevate Summit strategy. And with this sale, collective proceeds have topped $500 million well in excess of the original target for $200 million. Selling these assets at over 10x EBITDA demonstrates the sharp price discipline our team has employed while also indicating that the assets we have retained in our opinion, should be valued in excess of those we sold. The second portfolio move is the acquisition of SCI Materials, an aggregates base business in the high-growth Florida market that was completed on October 14. With SCI, Summit is acquiring an irreplaceable reserve, expanding our geographic footprint and advancing our materials first strategy. SCI Materials will integrate with our Georgia Stone Products business and contribute to our East segment. While relatively small in size, this acquisition can be a blueprint for how we are thinking about M&A. If you recall last quarter, we laid out a three-pronged criteria for Horizon 2 M&A that included bridging the portfolio mix, focusing on bolt-ons and entering or building strong footholds in high-growth strategic markets. The SCI acquisition clearly checks all three of these boxes. We are extremely pleased to add a high-value platform asset into the portfolio and it’s clear signal that Summit is well positioned to play offense in Horizon 2. Let me now turn it over to Brian for a detailed review of our financial performance. Brian?
Brian Harris: Thank you, Anne and I will begin on Slide 11 with a look at how pricing has trended by lines business. As expected and consistent with our second quarter commentary, pricing inflected higher across all lines of business in the third quarter. Broadly, this reflects the compounding of earlier pricing actions, the successful implementation of July 1 pricing across all lines and in all geographies and value pricing principles at work. In aggregates, pricing increased 10.2% and is up 6.5% over the first 9 months of 2022. Our two Texas operating companies registered the two strongest year-on-year aggregates price increases in the third quarter. Given the strong trends in pricing, we remain confident that we will land within our 2022 expectations and exit 2022 with tremendous pricing momentum. Likewise, cement market conditions remain supportive of continued pricing. And as Anne mentioned, we have announced a $17 per ton price increase effective January 1. So long as demand stays robust, supply remains tight and imports expensive, we believe it creates a favorable backdrop for cement pricing. In our downstream businesses, which are more pass-through in nature, the strong year-on-year pricing growth primarily reflects passing elevated input costs through the value chain. Moving to volumes by line of business on Slide 12, here, we are quantifying the impact from acquisitions and divestitures in Q3 and on a year-to-date basis to provide a cleaner look at organic volume trends. Take aggregates. Reported 3Q volume was down 9%, backing out the 70 basis point benefit from acquisition and the 620 basis point drag from divestitures and you would see our organic volume decline for aggregates was 3.5%, driven by the factors that Anne mentioned earlier, but bear repeating. Specifically, unfavorable weather in Texas and the Carolinas as well as supply chain issues that limited cement and trucking availability in certain markets constrained aggregates volume growth in the quarter. In our downstream businesses, you can see the dramatic impact divestitures had on quarterly and year-to-date volumes as the vast majority of our Elevate Summit divestitures occurred in these downstream businesses. Notably, ready-mix organic volumes through the first 9 months are down driven primarily by lower volumes in Utah from cement shortages earlier in the year, while Houston ready-mix volumes are up low single digit in 2022 as residential demand there has been relatively resilient, although volumes did moderate in Q3. On Slide 13, we provide an adjusted cash gross profit margin comparison by line of business for the third quarter. Despite strong pricing, significant inflationary headwinds resulted in contracting gross margin profiles across each line of business. On aggregates, input costs have increased at an accelerating pace through Q3, namely in repair and maintenance, labor, equipment and energy costs, which cumulatively have outpaced price increases. Cement segment adjusted cash gross margins declined to 42.5%, reflecting unscheduled production outages, higher energy and transportation costs as well as a greater proportion of imported cement. Our products and services gross profit margins declined versus the year ago period as pricing lagged higher labor and energy costs with the most acute pressures primarily on asphalt in North Texas. Now moving on to Slide 14 for a look at additional non-GAAP metrics, adjusted EBITDA margin of 27% was down from 28.7% in 3Q ‘21 driven primarily by higher variable cost inflation net of pricing gains. EBITDA margins, however, were aided by G&A cost controls where expenses were lower year-on-year in the third quarter by $7.4 million or roughly 140 basis points as a percentage of net revenue. Third quarter adjusted diluted earnings per share of $0.71, was $0.03 ahead of prior year levels, reflecting in part lower DD&A expenses and a lower interest burden relative to the year ago period. I’ll wrap up with capital structure on Slide 15. As Anne mentioned, Q3 2022 leverage ratio was 2.3x net debt to adjusted EBITDA, down 0.4x versus the prior year period. In the third quarter, under provisions related to the divestitures of businesses, we repaid $23.3 million of our term loan, bringing our total repayment to $95.6 million over the first 9 months of 2022. Consequently, these repayments have moderated the interest burden, helping to partially offset impacts from a higher rate environment so that we now expect our interest expense to approximate $85 million to $90 million this year. Additionally, in Q3, reflecting our view that our shares were undervalued and supported by our strong cash position, we repurchased approximately 1.9 million shares for roughly $53.5 million. Roughly $149 million remain under the 3-year $250 million share repurchase authorization. As of October 1, with available cash on hand, and an undrawn revolver, we maintain nearly $800 million of available liquidity and a fortified balance sheet. You can expect us to use this firepower to pursue attractive capital allocation opportunities that further our strategic objectives while delivering superior value to Summit shareholders. Before turning the call back to Anne for the purposes of calculating adjusted diluted earnings per share, please use a share count of 119.1 million, which includes 117.8 million Class A shares and 1.3 million LP units. Let me now pass back to Anne for a look ahead and her closing remarks.
Anne Noonan: Thank you, Brian. On Slide 17, we provide a quick yet important status update on our aggregates Greenfields, a key driver of Summit’s organic growth trajectory. We are proud to report that as of October 10, our Carnesville site is fully operational and open for business. Carnesville is strategically located and complements our footprint of the I-85 corridor between Atlanta and Greenfield. This is a region in market that is benefiting from incredible population growth is underpinned by strong economic fundamentals, and we believe has a long runway for growth, especially in nonresidential and public works. This is a prime destination for distribution centers, battery plants and ongoing DOT work to expand I-85 is just one infrastructure project in the area. On Slide 18, we provide our updated guidance for 2022. As noted in yesterday’s press release, we have revised our full year EBITDA expectations to reflect 2022 performance to date, the additional divestiture we made in the third quarter and the projected fourth quarter impacts from Hurricane Ian and low Mississippi River levels. As a result, 2022 adjusted EBITDA is now expected to be between $490 million and $510 million in 2022, which at the midpoint represents mid-single digit adjusted EBITDA growth on a 2021 base adjusted for divestitures. In light of inflation, supply chain constraints, Hurricane Ian and the Mississippi River challenges, we feel this is very strong performance in an uncertain macro environment. Our revised expectations for 2022 incorporate the following assumptions: first, foregone EBITDA from all divestitures completed thus far will have a roughly $13.5 million impact on the fourth quarter and approximately $45 million impact for the full year. Second, because of meaningful pricing tailwinds, we now expect high single-digit pricing growth on a full year basis. Third, we have not seen and are not anticipating inflation to ease in any material way in Q4. And finally, Q4 will be impacted by two discrete items, Hurricane Ian’s impact on our Carolina and Georgia operations and the impact to Continental Cement due to low Mississippi River levels. Together, we estimate these will have roughly a $5 million EBITDA impact in Q4 relative to the prior year period. Additionally, we have adjusted our expectations for 2022 G&A expenses to be between $185 million and $190 million. And finally, we now expect capital expenditures to fall below our previous forecast and instead will spend between $240 million and $260 million for 2022. Bottom line is that as we close out 2022, our teams remain focused on strategic execution, controlling what we can control and building momentum heading into 2023. Now as we pull together our 2023 plans and budgets, we are doing so at a unique time in U.S. markets. As always, our management posture is to reflect the realities of the marketplace while at the same time, setting in place contingencies for the downside scenarios. With that in mind, we are conducting cost containment measures where appropriate and primarily in discretionary areas that do not jeopardize safety or business growth. We believe this is prudent positioning as overall market conditions are uncertain. But ultimately, our 2023 performance will be heavily influenced by the trajectory of each of our end markets. So on Slide 19, we provide in broad strokes, our latest view for each of our end markets. Let’s start with the public end market, which makes up roughly 36% to 38% of our annual net revenue. To start, we don’t view public markets as cyclical. Yes, state budgets can fluctuate, but we find the public infrastructure work is a reliable source of steady growth for heavy building materials. For 2023, public markets are poised to experience robust and durable growth driven by well-funded state budgets and as infrastructure funding begins to flow through. We are already seeing solid state DOT budgets flow through to contract awards data with highway and paving awards accelerating significantly. For Summit’s top 8 states over the last 3 months, awards are up 41%, which is nearly 4 points better than the national trend and a steep acceleration from the previous 3-month growth rate. The point is that our states are outpacing national trends and experiencing tremendous momentum handing into 2023. Moving next to non-residential, where our base case scenario is that growth will vary by channels and favor verticals that are supported by robust economic investment. Take for example, the move to onshore critical parts and manufacturing. This has resulted in several semiconductor plants breaking grounds, some in our geographic footprint. Other channels likely to see growth in 2023 are green energy projects that includes electric vehicle and battery plants as well as LNG projects, particularly in the Midwest, Texas and Gulf Coast. Technology companies are moving to our high-growth markets such as Utah, where they are building new offices and campuses. On balance, we are bullish on nonresidential in 2023 with our perspective bolstered by both the Dodge Momentum Index and the ABI that remain in positive territory. Turning now to the residential end market, which if you recall from our August call, we are preparing for residential markets to go through a period of deceleration in 2023 and that’s a view that we are reiterating today. Residential markets are clearly moving through a price discovery phase as affordability has deteriorated on higher rates and homebuilders proceed with more caution. Consequently and at national level, single-family permits, the best predictor of future starts continued to move lower year-on-year, down nearly 8% in September. What’s important is that we put some context around this trend. First, single-family permits have remained north of $1 million and well above 2019 levels when residential markets were considered healthy and growing. Second, while permits have designed, units under construction have ticked up to record levels as construction time lines continue to be elongated by supply chain bottlenecks, which in turn are leading to extensive backlogs for residential construction. And finally, 2022 is very different from 2007. Consumer balance sheets are in much better shape, and we are not mired in a major global credit event. We don’t believe the Great Financial Crisis is a useful template for upcoming slowdown, and therefore, an air pocket rather than a wholesale collapse is in our estimation, the most probable scenario for 2023. That said, so long as inflation is elevated and the Fed’s primary lever to tame it is by raising rates, residential construction remains skewed towards risk for next year. Therefore, we will continue to test our embedded assumptions surrounding the depth and duration of the deceleration and have already begun to pivot volumes to other end markets where possible. For example, our Kilgore business recently secured a large commercial job for a technology company in Utah. Our teams are seasoned at pivoting towards higher growth end markets, capitalizing on emerging opportunities and optimizing performance. Now although national trends received the headlines, what’s important to Summit is how our local markets perform. And for us, we think it’s useful to drill down into our two largest residential exposures, Houston and Salt Lake City. First, for both Houston and Salt Lake City have benefited from in-migration trends when population growth as well as household formation significantly and consistently outpaced the national trend. Second, both metros are advantaged in terms of affordability relative to national average as well as other major MSAs. And finally, while more supply has come online, both remain below national levels and what we would regard as healthy levels of supply. When you pull it all together and notwithstanding the near-term air pocket that we are preparing for, our long-term view on residential growth is unchanged. We think several factors favor strong residential construction trends over time from the aging of existing housing inventories to well-capitalized cohorts entering prime home buying age to lifestyle changes that are prompting homebuyers to seek out suburban and exurban area, we are firm believers that we are playing in the right residential markets that will benefit from these factors in the long run. To summarize the building blocks of our 2023 end market outlook is for public end markets to exhibit durable and outsized growth, nonresidential growth to be positive and largely be project-dependent and that residential will slow, although the depth and duration of the slowdown is still to be determined. Of course, as is customary, we will provide a more granular outlook come February when we will have more visibility into how 2023 will play out. As an important point, I want to underline is that with our clean strong balance sheet, we are well positioned to pursue attractive inorganic opportunities through the cycle, something we couldn’t do previously. The takeaways that embedded in the Elevate Summit strategy is an agility and resiliency to manage through uncertain times and capitalize on the opportunities that emerge in the year ahead. Before taking your questions, I’d be remiss if I didn’t acknowledge the CFO transition that we announced in September. After nearly 10 years of service to Summit Materials and a long and accomplished career Brian announced he would step down as CFO once a successor is named and then continue to serve Summit in an advisory capacity thereafter. Personally, Brian’s in-depth industry knowledge and intimate understanding of our organization has proven invaluable as I stepped in as CEO in 2020. He has built a world class finance team over the last several years and because of his finance leadership and foresight, he has truly set up Summit for continued success with our Elevate strategy. I know you are not going anywhere anytime soon, but thank you, Brian, for your commitment to this great organization and congratulations on a career filled with countless achievements and accolades. Now Brian and I will turn attention to answering your questions.
Operator: [Operator Instructions] Your first question comes from the line of Stanley Elliott with Stifel.
Stanley Elliott: Good morning, everyone. Thank you all for taking the question. Brian, thanks for all the help over the years. Best wishes in your retirement. Maybe you can even sneak out and play a little golf. Can you guys talk about kind of the pricing tailwinds, right? I mean, you’re exiting it at a very strong rate. What sort of pricing carryover should we expect into next year? You mentioned the January 1, $17 per ton increase, just ballpark how we think about pricing accelerating into next year?
Anne Noonan: Thanks, Stanley. So let me address where we are in aggs first. So aggs, as we said in our prepared comments, we are confident that we will end the year at high single-digit growth because as you saw, we had a big step change here due to the strength of our July price increase. As we go into 2023, we see a very strong demand dynamic and ability to continue to have inflation-adjusted pricing and we will go with a broad-based January 1 price increase across our enterprise. Cement is already up double-digit acceleration coming out of 2022. And we did, to your point, talk about the $17 per ton increase, which will be necessary given that we’re lapping these very significant energy escalation costs in our Cement business. So we believe bottom line that in 2023, it will be very constructive to pricing across all of our business. Our downstream markets, as you know, we’ve been pricing very robustly to pass along at a minimum any materials costs, but we always hope to expand margins in that way as well.
Stanley Elliott: Perfect. Thank you.
Anne Noonan: Thank you.
Operator: Your next question comes from the line of Trey Grooms with Stephens Inc.
Trey Grooms: Hey, good morning, everyone. Thanks for taking my question. I also wanted to congratulate, Brian, on your retirement as well, been nice working with you. Best of luck on your next chapter. My first question, so Anne, you mentioned not expecting inflation to ease in the 4Q. And I know you guys pre-buy some of your diesel and you mentioned that the energy side of your cement business will probably remain elevated. But how are you thinking about the overall cost trends as we look into next year? And given the pricing outlook, and from where we stand today, how are you thinking about margins across your business lines given that backdrop?
Anne Noonan: Yes. I mean, I’ll give you kind of the high level as we’re thinking about from a cost perspective. We do not believe inflation will materially change. We’re going in with an assumption it’s going to stay high. And so our pricing on January 1 will reflect that. And basically, our supply chain continues to be a drag with respect to having just higher costs and cement increases are out there at a pretty high rate as well. So from an energy perspective, while we might see some moderation on diesel, we are not expecting that inflation is going to go away in any way, shape or form. So we’re pricing with respect to keeping net ahead of cost. And we’re also, as you know, [indiscernible] is working very hard on our centers of excellence to work on our operational side where we have a number of activities underway to mitigate cost escalation and that’s in the form of our continuous improvement events, which we’ve really been gaining momentum on, our procurement setting up standardization in our procurement practices. So basically, the track that we’ve been on, on value pricing and operational excellence is where we’re planning to expand our margins over time as we go through Q4, the price momentum will be there. We expect another price increase on October 1 in Texas, as an example. So we will continue with that pricing momentum. However, we will – we expect we will have a good opportunity to expand margins in Q4, because we have a nice basically lapping one-time cost from Q4 of 2021. Also, our mix because of our portfolio optimization, the businesses that we have actually divested have basically lower contribution to Q4. So that richening of the portfolio mix should come out in Q4 and extend into 2023.
Trey Grooms: Got it. Thank you for all that color. That was helpful. If I could just sneak one more in. On the cement volume in the quarter, especially impressive, can you talk about some of the drivers there? Was there anything unique going on to drive such strong volume in the quarter? And is that level of volume sustainable. If demand persists at that level next year, kind of just thinking about your ability to continue to purchase material and also how the increased PLC could play into it?
Anne Noonan: So we are working very hard to meet our cement customers’ demand. Cement is extremely tight and nearly every plant and our high fixed cost plants are running flat out right now. So you lose a day, it doesn’t come back to it. That’s the reality. Our plants have run very well. Our team has done a great job of really working on keeping our downtime at a minimum. We’ve also been, as you point out, buying imports. And just to give you context, traditionally, we have about 5% of our volume in imports. In Q3, it was 15% of our volume. Now that came a little bit of a hit to margin, obviously, because we don’t make the same margin on imports as we do on our domestically produced, but it was the right decision for the business and for our customers to grow our dollars of EBITDA. From a PLC perspective, we’ve talked about a 5% to 10% ability to supply the market, and we are fully converted on PLC conversion. And then the other factor we talked about our Davenport Dome is now in place and that’s going to allow us to give more security of supply to our Northern customers, plus reduce our demurrage costs. So it’s a combination of imports and really strengthening our operational excellence and our value pricing on cement will continue that strong performance.
Trey Grooms: Thank you, Anne. Appreciate the color. I will turn it over. Thank you.
Anne Noonan: Thanks, Trey.
Operator: Your next question comes from the line of Phil Ng with Jefferies.
Collin Verron: Hi, good morning. This is Collin on for Phil. I guess just touching on the import level here. I guess, is this new mix towards a 15% of shipments is a good run rate to go forward or how should we think about that mix between domestically produced and imports going forward. And, I guess, at what tonnage levels do you need to ramp up these imports for demand?
Anne Noonan: Well, what we’re hoping overall 15% is required this year because we are not on a full year of PLC conversion. As we enter into 2023, we’re going to want to optimize our domestically produced products. So that 5% to 10% bump we will get from the PLC full conversion of both of our plants. That will be the first cement we will sell into the market. We will then augment with imports as they are available, but they will continue to be high priced. And so we’re very selective when we use – when we use imports, we’ve got to make sure we can pass and have price protection on the higher-cost imports coming into our portfolio. So it’s really very much an opportunistic plan to meet our customers’ needs, but we will always go to the domestically produced first. And we should be in a really good shape to do that in 2023.
Collin Verron: Thank you.
Anne Noonan: Thanks, Collin.
Operator: Your next question comes from the line of Brent Thielman with D.A. Davidson.
Brent Thielman: Hi. Great, thanks. And Brian, best wishes as well. Anne, can you just talk about your expectations or even what you’re seeing on the ground already occur for pricing and maybe more your housing-centric market thinking Houston and Salt Lake City. Just wondering if the gain there sort of match the broader portfolio or is there more pushback there?
Anne Noonan: Yes. No, pricing has been very robust across all of our markets. As you know, aggregates is always a very strong pricing opportunity. We have had, as you saw in our Q3 results, we really accelerated pricing from the first half in aggregates up to 11.2% in Q3. Cement was up 12.8%, ready mix, 18.8% and 17.8% in asphalt. Now to answer your question specifically to Houston and Salt Lake City, the increases in Q3 in Houston was 20%, an excess of 20% and Salt Lake City was in the high teens. So one of the things that we went through the portfolio change, Brent, we divested all the underperforming and weaker businesses in our downstream that served housing. So when you think about the summit today, it’s – our downstream markets are much more robust, and that’s by design because we have leadership positions in them. So we are able to command the pricing and the team has done a great job of passing through pricing on ready-mix. In fact, in Q2, we actually expanded margins a little bit. This quarter was a little more difficult because we had some cement shortages. We had some weather in Texas to the point where we’re only running 4 days in a week at time. So I remain very confident on our ability in both ready-mix in both Houston and Salt Lake City too because of the strong markets and the strength of our portfolio there, we should be able to continue with our strong pricing posture.
Brent Thielman: Okay, great. Thank you.
Operator: Your next question comes from the line of Kathryn Thompson with Thompson Research Group.
Kathryn Thompson: Hi, thank you for taking my question to day. When we look into ‘23, you’ve given us a bit of a sneak peek in terms of what to expect roughly from a pricing standpoint. But what gives you confidence in terms of your view for ‘23 based on the preponderance of factors, particularly when you look at backlogs or larger jobs that are in the books? And then along with that, given some of the logistics issues on the Mississippi River, that’s obviously very important for your Northern Summit operations. What gives you confidence that you’ll be able to work through that in order to meet spring – late spring demand next year? Thank you.
Anne Noonan: Thanks, Kathryn. Appreciate the question. So obviously, we’re not giving guidance on ‘23, but we will talk to some trends here and what gives us confidence. So from – let me start with the demand perspective. As we’ve talked, we see public strengthening and accelerating and that’s a very non-cyclical part of our business. So our contracts and highway paving awards for our top 8 states were up 24% year-on-year, which is 3 points above the national average. And if I take Utah, out of that, we’re actually up 32%, which is 10 points above the national average. So we remain very robust on the public side. So that should be a very good strength for us moving forward. Non-residential, to your point on projects, we – last quarter, I talked about three major projects that have come in our Kansas City area, a logistics park, an industrial part and Panasonic’s $4 billion investment in electric vehicle batteries. There is even been three more projects that have come in. This is what we look at for strength. So we’ve got a soybean plant in Southeast Kansas, a rail expansion project in Wichita, a mixed-use warehouse facility in Kansas City. So you see our Central region becoming really very heavy project label. In Utah, we talked about the tech campus project that we secured in our prepared remarks, but we also have aggs and ready-mix intensive warehouse projects. We’ve manufacturing facilities and multiuse construction jobs that have also been put out there. And we’ve talked in the past about our LNG investment with our cement business. And then our Southeast region continues to have warehousing in Charleston around our Jefferson quarry. So, really robustness around the non-residential as well and all the indices that we talked about in our prepared remarks around the Dodge Momentum and ABI, I would say also, the thing we’ve looked at is that private non-residential spending is up 10.4% in September, and 44% of that is in manufacturing. So we see confidence there in U.S. spending which really supports that continued investment in manufacturing and in energy projects. Specific to your question about the river and cement, so our team, are really looking at this and it’s a very dynamic situation, as you might imagine. Today, we’re working heavily with our customers. And what we’re seeing, we’re managing through it. We’re seeing a little bit of delayed shipments is what I would say. But we have a number of mitigation activities underway. The first thing that the team is working on is really getting product inventories into Louisiana, St. Louis and Memphis as a priority. We are also looking at securing more truck availability to basically augment our light loading on barges. We are also working with our customers who are getting very creative about pickups, pickup options at our plants. And then we’re working with industry partnerships to try and basically get more flexibility into our supply chain. So overall, we feel that these actions are in place to not only mitigate Q4, Kathryn, but also, as you know we’ve got to mitigate that Q3 lot closure south of handleable. So we’ve got to have these actions in place. So, yes, to your point, it’s something we’re very – various hands on right this minute, but I feel the team has got a good handle on mitigating it into 2023. When we get to February, we will have a much better view on this for you.
Kathryn Thompson: Great, thank you very much. And Brian, best of luck. It was a pleasure working with you over the years.
Brian Harris: Thank you, Kathryn.
Operator: Your next question comes from the line of Anthony Pettinari with Citigroup.
Asher Sohnen: Hi. This is Asher Sohnen on for Anthony. Thanks for taking my question. Just on the challenges sourcing equipment that you mentioned sort of at the start of your prepared remarks. Are they sort of unique to you? Or should we think of them as being supportive of pricing power across the industry in the same way that maybe energy cost inflation permitted some healthy pricing actions in 2022? And then is there any way to sort of size the cost headwind from equipment sourcing and subcontractor costs that you’re seeing?
Anne Noonan: I’ll just give you a high level, but maybe Brian can give some specifics on it there. It’s not unique to us [indiscernible]. It’s basically our – we have our capital equipment as we put our orders in further coming in late. What happens is within the quarter, Asher, we will get – have to spend more on repair and maintenance because we get a call and say that piece of equipment is not coming in. So we have to spend more on repair and maintenance to extend the life of our equipment. Maybe, Brian, you could talk a little bit more about that.
Brian Harris: Yes, Asher you’ll see and the fact that we’ve taken down our CapEx guide for the year, we’ve brought that down just because we’re not going to be able to spend everything that we had originally anticipated due to those delays and mostly in the area of yellow iron and other over-the-road trucks have been delayed. And obviously, that just puts more pressure on the equipment that we do have. And we’ve got to keep it running. And so those – and there is inflation in the input cost of the repair and maintenance items as well. So it’s been quite a challenging year from that perspective.
Asher Sohnen: Great. Thanks. That’s very helpful. I will turn it over.
Anne Noonan: Thanks, Asher.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich: Yes. Hi, good morning, everyone and Brian, congratulations on all of the growth in the business under your watch and congratulations on not having to work with us going forward.
Brian Harris: Thanks, Jerry.
Jerry Revich: Can I ask the cost pressures, obviously came quick and fierce. This year, pricing actions are permanent. And now we’re talking about a margin expansion potentially exiting the fourth quarter. And if we think about the carryover effect of the price cost tailwind from the beginning of the year, it feels like you’re set up for 4-point – 5-point year-over-year margin tailwind just starting off ‘23. I’m wondering if you can comment on that? And maybe touch on the expected performance of your downstream businesses in a slower environment you folks have obviously consolidated the market in a lot of areas? Can you just comment on how you expect the downstream portfolio to perform broadly because of the aggregates product line performance, there is obviously a very good track record for?
Anne Noonan: Yes. So Jerry thanks for the question. We are not in a point of giving guidance. Our team is really working very hard on multiple scenarios for the budget for next year. So we won’t be ready to give much granularity about margin expansion until we get into February time frame. We did say in Q4, it’s our best chance of expanding margins for the reasons I outlined earlier on. We’ve got nice price momentum. We believe demand will be strong to your point. So if inflation in any way eases up, the strength of our aggregates pricing will hold, and that’s when we would expect to see some of that margin expansion. But we don’t have a crystal ball today, so we’re going to assume and plan around heavy inflation as we enter into 2023 and our pricing and our cost and operational excellence actions will be in accordance with that assumption. Now downstream environment is slowing. We are planning a couple of things, and I mentioned this in my prepared remarks. So if residential does slow, we are already, we’re not waiting for that. Our teams have already started pivoting some work into the more commercial site non-residential and public and they have really started having some momentum in that direction. Now we never say we can convert everything. But then I would also say our residential markets, we don’t see whole scale collapse. We see more a deceleration. And in fact, some of our homebuilders are talking about basically taking the opportunity during deceleration to build up their land inventories, which we actually see as a positive response. So I think our business is because as I said earlier, the strength of the portfolio and the markets we now play in, in the downstream very deliberately versus what we had maybe even 1.5 years ago is so much stronger, we should fare quite well.
Jerry Revich: Alright, thanks.
Anne Noonan: Thanks, Jerry.
Operator: Your next question comes from the line of Adam Thalhimer with Thompson Davis.
Adam Thalhimer: Thanks for taking the question. On the M&A side, can you give us a sense of kind of how many transactions you’re evaluating right now? I’m curious both on the sales side from this point going forward and the acquisition side.
Anne Noonan: Well, from a sales perspective, if you think about our three horizons. Horizon 1 was much more about it being a project with respect to divestitures and really tidying up the portfolio. As we’ve now moved into a Horizon 2, you should really think about divestitures being more a process, not a project and just being much more focused on value-creating M&A. And we gave you an example of a small one we did in this particular quarter. We have a very rich pipeline. I can’t give you the exact number sitting here. I would say they are all at various stages of development. But the good news is that we have this strong balance sheet, a much stronger portfolio to add on and a company that’s much more agile because of our focus on centers of excellence. So we are very positive about being able to acquire even in the down cycle. So we will continue to have our teams focused. We’ve reorganized our business development team a little bit to be very much focused within our regions and really build on our core bolt-on opportunities that is Summit’s DNA. And so you should expect to see more of that from us and see more of us like the one we did this quarter going into a strategic growth market.
Adam Thalhimer: Okay. Thanks, Anne.
Anne Noonan: Thank you.
Operator: Your next question comes from the line of David MacGregor with Longbow Research.
David MacGregor: Yes. Good morning, everyone and Anne congratulations to you and your team on all the progress shaping up very nicely. I wanted to go back and ask you about a couple of things that you had indicated in your prepared remarks, one of which was with respect to the cement business and talking about the effort to build a more sustainable margin performance above 40%. I guess what does that take from where you are now? Is that all pricing? I’m guessing it’s maybe a little more than that, but if you could talk about that? And then secondly, on the SCI acquisition, and I fully appreciate it, this is a small transaction, but you did reference it as a platform asset. And so I guess what’s changing in terms of your view of Florida and what’s the kind of on long-term vision for Summit in Florida? Thank you.
Anne Noonan: Okay. Thank you, David. I appreciate the question. So let me address the Cement North Star objective that we have a 40% sustainable EBITDA margin. So the team has really been doing a very nice job and over the last 2 years, focusing heavily, first of all, on supply chain optimization. Secondly, they have really worked on commercial excellence and not just in the mode of value pricing but also in optimizing our customer mix such that we’re – really have a better mix of low- to medium-sized customers and not so dependent on heavy power buyers. So that has momentum. That part of the business is working extremely well. The other factor I would point you to that’s been is very much a factor in getting to that sustainable 40%. It’s just plain all operational excellence, reducing downtime and really being very, very good at Lean, Six Sigma, OEE, all those things operating very well. And then the third one, which we talked about a lot is our Green America recycling. In Green America, we have – it contributed in ‘21 about $4 million. We’ve been expanding it. And in 2022, it should contribute about $8 million to $9 million to our EBITDA. And then as we go out over the next year, you should think about adding another $4 million to $5 million, and that reaches the EBITDA mix because that is a stronger margin business to the portfolio. And then the fourth point I would talk to is the Davenport Dome which has reduced our demurrage costs, provide security supply to our Northern customers. And so overall, is additive to that additional margin expansion. So I believe we’ve got a very credible path to our cement 40% EBITDA margins. The team has been executing extremely well. With respect to your SCI question, yes, it is small, and we do see it as a platform. So one of the things to point out about this, it’s one of our strategic markets where we do see a path to number one or number two position, which was one of the things we’ve always held out there, it’s aggregates led. It is in a fragmented market. So just like we did when you think about when Summit first went to Utah, and grew bolt-on after bolt-on after bolt-on to become what it is today, we see the opportunity at SCI to do that. Obviously, we won’t go into much more details than that for competitive reasons. But this is Summit’s DNA. And with the fragmented market and the difficulty of logistics in that particular market, we believe there is an opportunity to have a very strong position over time. Hopefully, that answers your questions.
David MacGregor: It does, thanks very much Anne, and good luck, Brian.
Brian Harris: Thanks, David.
Operator: Your next question comes from the line of Garik Shmois with Loop Capital.
Garik Shmois: Hi, thanks for taking my question. You called out the mix benefit in the fourth quarter from divestitures roll off and some seasonality associated with those assets that you had. I’m wondering if there is any way to quantify benefit there. And then just on the non-res pivot that you called out, you cited several projects and wins out West. Is this a relatively new strategy and approach kind of moving more towards non-res just kind of curious. What is goes into winning some of these larger projects that you’re now highlighting?
Anne Noonan: So you’ve built up on the front end of your question on the mix benefits. So I might have to ask you to repeat that. But Garik, let me address the non-res pivot and then Brian, maybe you can repeat the first part of your question. So – what goes into that, it’s not as big a pivot as you might think because we have the products, the team is very seasoned at doing it. And we don’t take a margin hit by doing that. They are heavy aggregates-intensive projects, so it’s really – the one thing I would point out about non-res, we try and keep a nice balance between non-res and residential, I use Salt Lake City as an example, because you have your constant residential customers and development over time. Non-res can be a little more bumpy. And if you talked – when I first joined the company in 2020, we had very few non-res projects. So you’re seeing that acceleration of non-res following a residential growth but you’re also seeing this energy focus and onshoring of manufacturing, which I would say is where most of our projects are coming from. And we see them as large volume projects, and that’s what would force us to move over to those projects with the aggregate intensity. But we will always keep a good balance because that’s one of the nice things about Summit’s portfolio is that we do have that nice balance of end markets and ability to pivot. Brian, do you want to add?
Brian Harris: Could you repeat the first part Garik? I think it was about our portfolio mix?
Garik Shmois: Yes. Sorry, I broke up there. Hopefully, you can hear me better now. I was asking about the divestitures that are rolling off in the fourth quarter. You cited there was going to be some comparability and mix benefits in the fourth quarter of this year. I’m just wondering if there is any way to quantify how much of the margin benefit you’re going to see in the fourth quarter from the absence of the assets that you had last year?
Brian Harris: No. I mean we’ve got – we cited about $13.5 million of EBITDA rolling off, and we’ve got the impact of the Mississippi River in the fourth quarter, which we quantified at approximately $5 million. I think it’s – the improvement year-on-year is going to come from that pricing momentum primarily that we’ve already baked into the numbers. You saw it in Q3, we expect that pricing momentum to roll over into Q4. And as Anne mentioned, we actually have a price increase in 1st of October in Texas. So – that’s what will make the difference quarter-on-quarter.
Garik Shmois: Got it. Thank you.
Anne Noonan: Thank you.
Operator: Your next question comes from the line of Mike Dahl with RBC Capital Markets.
Unidentified Analyst: Hi. It’s actually Chris calling on for Mike. Thank you for taking my questions. I was hoping we could maybe dial on the 4Q margin outlook. Specifically, it looks like there is pretty wide range of outcomes potentially given the range you gave for the full year. So I was just hoping maybe you could flesh out, what gets you to the high end of your margin next quarter, low end? What are the big kind of moving pieces that we should be focused on?
Brian Harris: Yes, Chris. Typically, the fourth quarter is one in which it’s a little bit weather-dependent. You get a good run of mild weather through into the fourth quarter that will really help with the margin. It’ll pull through a lot of extra volume. The pricing, obviously, is going to be – make a difference for us this year, significant pricing momentum going into Q4. But then offset by those – the uncertainty around the river markets would be the one – maybe a little bit of a wildcard right now as we go into Q4. But pricing and more days we can have in the balance of the year, the better the outcome.
Unidentified Analyst: Appreciate the color.
Anne Noonan: Thank you.
Operator: There are no further questions at this time. I will turn the call over to Anne Noonan, CEO, for any closing remarks.
End of Q&A:
Anne Noonan: Okay. Thank you. Again, congratulations, Brian, on your pending retirement. I’ll leave the three key takeaways. First, we are making strategic progress among each of our priorities. We’ve achieved a record net leverage ratio, taking significant strides towards our 10% ROIC target and made several value-enhancing moves that strengthen enriching the portfolio. Second, we are acting with agility in the face of uncertain economic conditions. That means continuing to execute on pricing to what local markets will bear, pivoting volumes towards higher growth and looking to advance our self-help margin initiatives aimed at stemming inflationary headwinds. With execution over time, we are confident that our margin progress will show-through. Finally, we have the strongest balance sheet in company history and we are better positioned to pursue attractive organic and inorganic opportunities than ever before. As you’ve seen today, we will continually optimize our portfolio while investing in growing prioritized markets. As we continue to make strategic progress focused on what we can control and invest in high-return opportunities, we will emerge as a more consistent and more profitable Summit Materials. As always, we thank you for your continued support for Summit Materials and we hope you have a nice day.
Operator: Thank you for participating. That concludes today’s conference. You may disconnect at this time.